Operator: Thank you. Good morning, everyone. We issued our earnings press release this morning to the Investor Relations portion of our website at investors.azekco.com, as well as via 8-K on the SEC's website. I'm joined today by Jesse Singh, our Chief Executive Officer and Ralph Nicoletti, our Chief Financial Officer. Before we begin, I would like to remind everyone that during the call AZEK management may make certain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These include remarks about future expectations, anticipations, beliefs, estimates, forecasts, plans and prospects. Such statements are subject to a variety of risks, uncertainties and other factors that could cause actual results to differ materially from those indicated or implied by such statements. Such risks and other factors are set forth in the company's earnings release posted on the website and provided in our final prospectus with respect to our initial public offering as filed with the Securities and Exchange Commission. The company does not undertake any duty to update such forward-looking statements. Additionally, during today's call, the company will discuss non-GAAP measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered an isolation or as a substitute for results prepared in accordance with GAAP. Reconciliation of adjusted EBITDA to net income and net loss calculated under GAAP and adjusted gross profit to gross profit calculated under GAAP, as well as reconciliations for other non-GAAP measures discussed on this call can be found in our earnings release, which is posted on our website and will be included on our Form 10-Q for our third quarter of fiscal 2020. I would now like to turn the call over to Jesse Singh.
Jesse Singh: Good morning. It's great to be speaking with you today on our first earnings call as a publicly traded company. I hope you all are safe and managing through these challenging times. As you know, we completed our initial public offering in June, which was a result of the significant hard work and dedication of our employees who helped build AZEK into a leading manufacturer, beautiful sustainable, low maintenance building products. I'd like to thank all involved in the process for a successful outcome. We look forward to partnering with our new shareholders as we focus on expanding the business and creating value in the years to come. I'd also like to recognize our team for their leadership in our response to the pandemic and its impact. Consistent with our core value of do the right thing, our first priority has been and will continue to be the safety of our employees, our customers and our communities. At the onset of the pandemic, we made a number of proactive safety and operational changes, across our business and offered enhanced benefits, such as employee bonuses and extended sick leave among others. The AZEK team responded quickly and efficiently working closely with our channel partners. This is enabled us to execute our plans in a difficult and uncertain environment. Thank you to the entire AZEK team and our channel partners for your commitment and dedication. Hopefully by now, each of you has had the opportunity to review our earnings press release. And read that we had a strong June and are seeing an acceleration in the business as consumers continue to focus on their homes and invest in outdoor living. Let me begin by reiterating our strategic priorities and the opportunities we see ahead of us. We believe that we are a unique company with a compelling long-term growth story. We have leading brands that are known for their innovation, we manufacture in the U.S. using an increasing amount of recycle materials, we are committed to diversity and sound governance, and we are focused on large growing markets that are benefiting from strong trends and the continued conversion from wood to our types of materials. Our long-term goals are to deliver 8% to 10% revenue growth annually and to operate with leverage between 2 times and 3 times. In addition, we see a long-term opportunity to increase adjusted EBITDA margins by 500 basis points from the fiscal year 2019 level. We have been and will continue to focus on key initiatives to achieve these long-term goals. These initiatives include first, deliver revenue growth. We have multiple levers to drive above market growth and accelerate material conversion including investing in new product introductions and expanding and leveraging our downstream focused sales and marketing team. Second, expand margins, we will further expand our margins through the use of recycled materials in our manufacturing processes and through our continuous improvement programs, known as the AZEK Integrated Management system or AIMS. Third do the right thing, we will continue to improve our social and environmental impact and corporate governance by continuing to invest in doing the right thing. Fourth invest in our strengths, we will continue to build out our core strength, which include brand, material science, integrated manufacturing and our strong customer connection. Our execution is on track and consistent with what we shared during the IPO process. During the quarter we made solid progress against each of our strategic initiatives, and I'll share some specifics shortly. Turning to our third quarter results. Despite a volatile and challenging market, our team continued to execute and deliver sales and adjusted EBITDA growth. Our residential business grew 5.5% compared to the third quarter a year ago, while our commercial segment declined approximately 20%. Adjusted EBITDA grew almost 10% year-over-year and adjusted EBITDA margins expanded 200 basis points from the same period, the year before. These results are on top of very strong sales and adjusted EBITDA growth during this quarter in 2019. Our commercial business, which represents 6% of our year-to-date segmented adjusted EBITDA experienced declines in the third quarter. As a reminder, this business tends to track more closely to GDP and the broader economy. The Scranton Products portion of the business has historically been driven by commercial repair and remodel and during the quarter had a modest downturn in sales. The Vycom portion of the business has a broad domestic customer base with over 20% of the business exposed to retail and trade show end markets where volumes have drastically slowed and in some cases effectively shut down. Our commercial business had some great products that include high privacy bathroom partitions that could become increasingly necessary along with additional barrier products. Although, we saw some improvement in the quarter. This business like the broader economy faces a difficult market environment in the near term. With respect to the residential business early in the quarter, the industry slowed as shutdowns and stayed home orders adversely impacted the pro-channel, adversely impacted part of the retail channel and impacted in customer activity. However, as the quarter progressed conditions begin to improve and by June, we saw a sharp acceleration in demand across our residential channels. Repair and remodel and new construction experience continued favorable tailwinds after the brief slowdown. The retail channel saw relative strength throughout the quarter as home improvement centers were open and accessible while the pro-channel got off to a slower start during the quarter in specific geographies and came back very strong in the second half of the quarter. Sales within our Exterior business declined in April and May as our strongest geographies were disproportionately impacted by closures, but then rebounded strongly in June and that momentum has continued through July. Sales within our Deck, Rail & Accessories category increased over 9% and sell-through for the residential segment overall, that's what our distributor partners sell to our dealers was up in the mid-teens versus a year ago. As market conditions improve, the focus on our growth drivers has served us well. We improved our interaction with our customers in multiple ways throughout the quarter. Our sales teams on the ground aggressively engage with customers and consumers digitally to drive demand. We launched our better Tech, better Deck campaign meant to inspire homeowners on the technological superiority and design versatility of our TimberTech products. We made investments in our digital and customer experience capabilities to improve how consumers engage and learn about our products online. Importantly, both web traffic and sample orders saw tremendous growth and nearly doubled during the quarter relative to the same quarter of last year. We expect new products to deliver growth on an ongoing basis and we have seen strong acceptance of our new product introductions for 2020. Our value-added Exteriors products that are designed to drive material conversion and increased contractor productivity continue to support above market growth. And our simplified and improved railing offerings have experienced very positive market reception. The launch of our TimberTech pro reserve decking line and the TimberTech edge prime plus decking line has solidified our position in two key segments and have made a material contribution to our results. Operationally, during the quarter, our team worked tirelessly to respond to the volatile environment, which began with a slowdown. And then quickly reverse course due to rapidly increasing demand while continuing to execute against key operational initiatives. These initiatives are on track with what we shared with you during the IPO process. They include the expansion of our manufacturing capacity. The increased use of recycled raw materials and the execution of our continuous improvement programs. During the quarter, we started the first stage of our decking capacity expansion with further additions coming online later this year. The recent strategic acquisition of return polymers has put us in a strong position to continue to expand our recycling efforts. We continue to evaluate new ways to leverage their strong capability. The combination has yielded many new opportunities, including expanded uses of recycled PDC and the development of new customer focused initiatives, such as our post construction waste recycling. The integration is on track and we are achieving our synergy targets. Taken together, our market opportunity. Growth drivers operational execution and margin execution during the quarter clearly demonstrate the resiliency of our business model. While the success of our initiatives and the strong demand we are seeing is encouraging. It is also placed a strain on our capacity and resulted in shortages in certain decking and railing categories. As we exited the quarter, we were unable to fully meet demand and we are operating our plants at full capacity. We expect decking demand to continue at a high level for the remainder of the fiscal year, and our fourth quarter Deck, Rail and Accessories sales will be limited by our ability to meet the full amount of demand. We have taken a prudent step to accelerate the deployment of our next two phases of our previously announced expansion and expect additional capacity to come online during the second and third quarters of our fiscal year 2021. We continue to be confident in our business model and the long-term opportunity for growth and are expanding our capacity plan from the original $100 million investment to approximately $180 million to support future market demand and the large wood conversion opportunity. The strategic capacity expansion plan includes an incremental decking production capacity of approximately 70% and a new manufacturing facility over the next 18 to 24 months. Our current outlook is based on a number of factors, indicators and macroeconomic variables. We integrate insured data with our channel partners and regularly survey our dealer and contractor customers to understand their activity levels and backlogs, which today continue to show considerable strength. We conduct detailed analysis on our sell-through in our inventory in the channel, which is currently below levels at the same time last year. We also evaluate consumer engagement activity such as web activity, sample orders and quote request, which, as mentioned earlier, have accelerated. Finally, we also utilized forecast that correlate to our business such as repair and remodel and new housing data combined with traditional macroeconomic variables were short and long-term visibility on potential demand and demographic trends. While we see many positive including an expanded focus on the home and outdoor living. We also recognize that we are in the midst of a pandemic that it's influencing the broader economy and has the potential to impact our markets and consumer sentiment in 2021. Taken in their totality, these factors influence our favorable near-term outlook for our residential business and a cautious approach to 2021. We remain highly confident in the long-term market opportunity for the business driven by secular trends, material conversion and our own execution. With that I'd like to turn the call over to Ralph, who will discuss our financial results and the outlook in greater detail.
Ralph Nicoletti: Thank you, Jesse. As mentioned earlier, we are pleased with our fiscal third quarter results and our ability to manage our business effectively in a difficult operating environment. All comparisons will be made on a year-over-year basis compared to the same quarter ending June 30, 2019. The fiscal third quarter of 2020 net sales increased by $2.4 million or 1.1% to $223.7 million. The increase was attributable to higher sales growth in our residential segment on top of strong growth of 27% were mid-teens organically in last year's third quarter. Deck, Rail & Accessories grew 9.4% and after a slow start due to the market shut downs early in the quarter, our Exteriors business grew almost 20% in the month of June and most recent sale trends continue to be strong. Net sales for our Residential segment increased by 5.5%, but the Residential segments contribution to consolidated net sales was partially offset by a decrease in our Commercial segment of 19.7% as compared to the prior year period. Gross profit for the third quarter of fiscal 2020 decreased by $300,000 or 0.4% to $75.1 million. Adjusted gross profit for the third quarter of fiscal 2020 increased by $700,000 or 0.9% to $91.2 million from $90.5 million in the third quarter of fiscal '19. Adjusted gross profit margin was 40.8%, down 10 basis points from last year including approximately a 90 basis point negative effect from COVID-19 related costs. Selling, general and administrative expenses increased by $15 million or 29.8% to $65.2 million, about 29% of net sales for the third quarter of fiscal 2020. The increase was primarily attributable to IPO related expenses of $22 million including the recognition of stock-based compensation expense, partially offset by lower marketing related expenses and personnel costs as we took steps to adjust our cost structure in light of the initial COVID-19 disruption. We recorded a net loss of $52.1 million for the third quarter of fiscal 2020 compared to net income of $1.5 million for the third quarter of fiscal 2019. Primarily due to the loss on extinguishment of debt, and increased selling, general and administrative expenses related to the IPO, which combined totaled approximately $60 million. Adjusted EBITDA for the third quarter increased by $5 million or 9.6% year-over-year to $57.8 million, mainly driven by higher sales, as well as lower selling, general and administrative costs, partially offset by higher over COVID-19 related production costs, which included shutting down some of our factories for approximately a week. Adjusted EBITDA margin expanded 200 basis points to 25.8% from 23.8% a year ago. Now turning to our segment results, as we noted during our IPO process. Our Residential segment had a slow start to the quarter, particularly in Exteriors as several geographies had construction either shut down were disrupted significantly. Our Deck, Rail and Accessories business was also affected, but as the quarter unfolded more homeowners continue to invest in their outdoor living spaces and many states deemed Residential construction essential. In addition, restrictions were eased in certain regions allowing activity to resume. This resulted in a significant demand increase in both Deck, Rail and Accessories as well as Exteriors as we saw sell-through for the quarter increased mid-teens with June significantly above that level. This resulted in the Residential segment, net sales for the third quarter to increase by $10 million or 5.5% to $192.6 million. We are seeing strong acceptance of our new Deck, Rail and Exterior trim products and we are benefiting from the downstream sales force investments we have made in our Exteriors and retail channel teams. Adjusted EBITDA for the third quarter increased by $8.2 million or 15.2% to $62.3 million. Mainly driven by higher sales, as well as lower SG&A costs as a result of lower marketing and travel expenses, partially offset by higher COVID-19 related production costs. Commercial segment net sales for the third quarter decreased by $7.6 million or 19.7% to $38.7 million. As Jesse discussed earlier, this business was affected by the slowdown in Commercial Repair and Remodel, as well as certain challenged end markets such as retail and trade shows. Looking at our balance sheet and cash flow as of June 30, 2020 we had cash and cash equivalents of $215.1 million and approximately $97 million available for future borrowings under our revolving credit facility. Total debt as of the end of June 2020 was $506.7 million including $467.1 million under the term loan agreement and $44 million outstanding under our revolving credit agreement, which we paid off in July. We successfully completed our $38 million share IPO of Class A common stock on June 16, which raised in aggregate $819.4 million of proceeds. We used approximately $783 million of the proceeds to reduce our debt. Our net debt to adjusted EBITDA leverage is 1.5 times as of the end of the quarter. The IPO proceeds have significantly strengthened our balance sheet and enables capital structure flexibility for the future. As a reminder, our long-term financial model target is to operate with leverage in the 2 times to 3 times EBITDA range with our capital priorities of supporting the core business, strategic M&A and debt repayment. Net cash provided by operating activities was $11.3 million and $20.3 million for the nine months ended June 30, 2020 and 2019 respectively. The $9 million decrease is primarily a result of increased working capital usage to support higher production and demand levels. As we enter our fourth quarter demand remains very strong with our key residential end markets and has resulted in shortages in certain decking and railing products. We are in the process of adding additional capacity to satisfy the long-term growth opportunity that we see. As Jesse mentioned earlier, we are accelerating and expanding our capacity expansion plan from an original $100 million investment to approximately $180 million. This is a multi-phase program, we are in our first phase which we partially implemented in the third quarter and will complete in the fourth quarter will add approximately 20% more decking capacity. The second phase will be implemented in our fiscal second and third quarters of 2021 and then the third phase in the early part of fiscal '22 as we ramp up a new facility in the western part of the U.S. The full capacity expansion is expected to result in approximately 70% incremental decking capacity over the next 18 to 24 months. In terms of capital spending pacing. We now expect total capital expenditures of $85 million to $90 million in fiscal 2020 reflecting a step up in capital spending of about $15 million resulting from the accelerated capacity investment. Remaining $65 million increase is expected to largely be spent in 2021. We expect to add the additional 20% decking capacity during the second half of fiscal '20 while improving margins and we remain on track with achieving our long-term adjusted EBITDA margin expansion objective of 500 basis points. Now moving to our outlook. Our outlook is based on current strong demand within our Residential segment and balanced by the economic uncertainty caused by the pandemic, including high unemployment and the potential for more market disruption. According to industry forecasts. The home improvement and repair and remodel outlook for 2020 has improved since May. But such forecasts continue to suggest negative to low single-digit growth for the full year. Specific to AZEK, we are encouraged by our current demand trends and internal signals like web traffic and sample orders growth. Over the next quarter, we expect continued robust demand with our Residential segment across both our Deck, Rail and Accessories and Exteriors businesses, partially offset by continued weakness in our Commercial segment. We are providing guidance for the fourth quarter of fiscal 2020 for net sales growth in the range of 12% to 17% year-over-year and adjusted EBITDA growth in the range of 14% to 19% year-over-year. Additionally, while we don't plan to provide forward-looking guidance, multiple quarters out on a regular basis. Given that we provided a forecast during the IPO process in this volatile environment. We are providing a directional update. Our net sales growth for our Residential segment for the first quarter of fiscal 2001 is low double-digit growth. We expect the current trends in the Commercial segment will continue through the end of the calendar year. Finally, for modeling purposes, we assume approximately $152.2 million weighted average diluted shares outstanding for the fourth quarter and $123.5 million weighted average diluted shares outstanding for the full fiscal year 2020 and a full year tax rate of 6.7%. Going forward, we plan to issue full year sales and adjusted EBITDA guidance, that we will update quarterly as needed. I'll now turn the call back to Jesse for closing remarks.
Jesse Singh: Thanks Ralph. In closing, I'd like to reiterate my belief that AZEK is a truly unique company that is well positioned to succeed and an attractive and growing market. We've got a strong culture and a broad portfolio and are poised to benefit from multi-year secular trends in outdoor living and wood conversion. We are a proven leader in innovation, we have multiple levers to drive above market growth and we see a runway to improve our margins with our focus on expanding the use of recycle materials. We see additional opportunity through our continuous improvement programs. We remain confident in our ability over the long-term to grow the business 8% to 10% on an annual basis and in our ability to drive 500 basis points of adjusted EBITDA margin expansion. We look forward to partnering with our new shareholders, as we strive to create value in the years to come. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Your first question is from Matthew Blair with Barclays. Your line is open.
Matthew Blair: Good morning, congrats on the first results out of the gate here. And thanks for taking the questions. Firstly, I wanted to ask about the decision to accelerate the capacity additions and the incremental addition. So I guess in the short term, to what degree is the Q4 guide dependent on some of that new capacity - or the accelerating capacity coming on schedule in Q4 and longer term are you actually taking a more constructive view on the conversion from more decking accelerating here. Thank you.
Jesse Singh: Thanks Matt and good morning. Let me start with your second question, which is our longer-term view. As we've talked about, we see a tremendous opportunity to continue to drive conversion in the market. And we've seen a lot of really positive secular trends and, and this most recent, those were trends coming into the pandemic. As a reminder, we grew almost 16% coming into the pandemic. And as we, as we see more people staying at home, we believe that the trends are intact for the long term and that as people focus more on the home, that there might be an opportunity for those trends to accelerate. So having said all that, we think it's prudent that, we continue to look at staying ahead of the curve relative to our growth opportunity. So that really addresses the second question, I think as you look at the short-term. I'll have Ralph make some very specific comments but we've been adding capacity and as Ralph pointed out, we are bringing capacity online, as we speak and we expect to accelerate that through the fall. So as we look at our guidance, we're aware of those capacity adds and so Ralph, I'll turn it over to you, to see if there is any additional color on that.
Ralph Nicoletti: Sure. Thanks, Jesse. And good morning, Matt. Yes. As I mentioned in my remarks, we, when we started the first phase of the capacity expansion in the third quarter and we're finishing it - we're finishing it down in the fourth quarter here. We're not dependent on that expansion of capacity to meet, what we talked about for Q4. And so, we're comfortable with the capacity relative to the guidance that we provided. But it is a multi-phase program again with the first phase being finished in Q4 and then in our fiscal second and third quarters of '21 there'll be another expansion and then later on, as we go into calendar '22 to finish the program in the third phase.
Matthew Blair: I guess secondly on the same topic have to ask about the margin side impact from all that. So any way to quantify kind of what's baked into the Q4 guide from a start-up cost standpoint as this comes online. And certainly with your plans into '21 and '22, how should we think about modeling these costs from the additional capacity over that timeframe? Thank you.
Jesse Singh: As we think about start-up costs in the transitions of capacity. If you recall from our discussions back in the IPO process too, we certainly contemplated that we would be expanding capacity and also moving ahead on the cost reduction agenda principally in recycling and we factored all that into our guidance and are and we're on target. We continue to believe we have the 500 basis points of opportunity and EBITDA margin growth over the next several years. And I won't quantify specifically the number in the fourth quarter, but it certainly does contemplate are - it certainly does contemplate are our start-up of the first phase in the third and fourth quarter here. And you can tell from our guidance, that we are improving our margins, both in the third quarter and the fourth quarter, while we're adding about 20% capacity.
Operator: Your next question is from John Lovallo with Bank of America. Your line is open.
John Lovallo: The first one, maybe we could just dig in a little bit more on the July trends, I know you said that they were favorable, I mean where they sort of mid-teen year-over-year like June and then is there any update you could potentially give us on what you're seeing in August.
Jesse Singh: Yes, just at a very high level, we're - I think Ralph touched upon the strength of June, we continue to as Ralph pointed out in his comments, we continue to see nice and favorable momentum as we progressed through July and August and obviously given our guidance, we expect that to continue through the quarter. Specific month to month, we're just seeing strong trends throughout without getting into any more detail.
John Lovallo: And then I think one of the things that you had contemplated in the prior outlook was some potential distributor, destocking over the winter. I mean, as your view on that changed at this point given where demand has been.
Jesse Singh: During both of our comments we mentioned that the inventory position within our channel is, and just one of the areas we track and it's below where it was the previous year, given that and given the stability of the economy, we are, we believe it's, it's a significantly lower probability that there would be destocking as we go into the fall.
Operator: Your next question is from Susan Maklari with Goldman Sachs.
Susan Maklari: First off, I just wanted to dip a little bit more into, into the demand trends, can you talk about any shift that you're seeing in terms of mix that are coming through and maybe along with that, I know you noted some of the, this is a very positive trends you're seeing in terms of your web traffic, can you just give us any more details on that too.
Jesse Singh: You know with respect to mix. We have our growth has sustaining across the portfolio and - and so similar to earlier discussions we might have had our mix is consistent with what we projected and continues to show the strength of the broad base of the portfolio and forgive me, Susan, I forgot your second question. So if you could repeat it.
Susan Maklari: Yes, sure. I just wondered you know you commented on the strength that you're seeing in terms of traffic to the website, can you just give us a little more color there? Like is it people spending more time on the site, is it more traffic to the site some combination therein, are there certain products or categories people seem to be more or less interested in and any kind of details on that.
Jesse Singh: Sure. Our TimberTech site is focused on the consumer and by definition is focused on the consumer that's looking at outdoor living. And we - so with respect to the data I shared earlier, it's really around Deck, Rail and Accessories consumer and what we see there is an increase in website visits. We see an increase in engagement once they're on the website. And we also see an increase in sample orders placed. And as you may have heard, that's one of the industry indicators of interest in the category. And it's certainly one that we use to understand where our consumers are and so we have the numbers I mentioned are really in referenced to all of those variables were, we've seen and continue to see really strong interaction with ourselves and doing that digitally, I'll bring up one of the point as we look at long-term market conversion. We tend to get excited, the more consumers interact with the category and we believe that as they get better educated, the market will continue to move away from wood into our types of products. So we also view that as a positive for the long term.
Susan Maklari: Okay, that's helpful. And can you also talk a little bit in terms of raw material costs. What that was like during the quarter and how the, how you're thinking about that looking out, obviously there has been, probably some deflationary tailwinds that you've seen, but what are you thinking about the sustainability of that?
Ralph Nicoletti: It's Ralph. I'll take that one. First on raw materials. If you go back a couple of months when I'll call in the April, May period as the COVID-19 situation was really unfolding. We saw declines in resin prices. I would tell you though, that was fairly short-lived as the economy, particularly on the construction side picked up. We're starting to see those prices stabilize and tick up. In terms of our P&L, there is some benefit from that short decline, it really will flow through in our first quarter of fiscal '21, just the way it flows through inventory. So what we're seeing now, after a very short decline. What we're seeing now is some stabilization of prices and potentially even some ticking up a price, polyethylene looks to be around flat to prior year, PVC moving up a little bit more.
Operator: Your next question is from Philip Ng with Jefferies. Line is open.
Philip Ng: Congrats on a really impressive quarter out of the gates. Ralph, can you give us a little more sense of how much capacity you're adding in Phase II and Phase III and assuming everything comes on very smoothly. What type of growth can you sustain the next 12 to 18 months? Is looking past and maybe the fourth quarter because the industry broadly is sold out to your ability to kind of deliver that capacity will kind of dictate how much growth you're going to be able to see.
Ralph Nicoletti: Again as we look at the total program, we're estimating about getting 70% capacity increase that's obviously very significant from where we - from where we are first phase is adding 20%. I'm not going to get specific by phase and what we'll do is give you updates as we move through the, through the quarters, the next phase. The next phase of capacity add is a significant or more than the current one in the Phase 1 that we're doing. So there is meaningful capacity coming on in our fiscal second and third quarter of '21. Okay. And that's you had another part of your question. I might have missed.
Philip Ng: It sounds like you're adding a lot of capacity, so it doesn't sound like it's going to limit your ability to grow because it's 20% and in another 20% plus. That's helpful.
Ralph Nicoletti: Yes. Okay,
Philip Ng: Yes. And then thinking next 12 to 24 months out longer term, once again, you kind of reiterate the $500 million of margin expansion opportunity from self-help initiatives. That's great. But appreciating the start-up costs for some of this capacity, especially the Greenfield side of things. Does that push out in that timing? And more importantly, do you have the recycling capacity, given this uptick in capacity you're adding more broadly for decking?
Jesse Singh: Yes, let me, I'll just give you let me and we said it earlier, and we feel, we feel really good. I just want to correct on the 500 basis points, where we're a little smaller than $500 million might be a little much for us right now. But, but 500 basis points relative to, relative to the 500 basis points. The areas that we outlined where that were executed - execution items against that namely recycle, our AIMS program and the long-term SG&A leverage, as we lap public company costs. We feel really good about the execution those are on track and we feel good about the execution of that and when we laid out that execution is, as you might recall during the process, we also highlighted that that execution included various start-up costs as we migrated forward. So at a high level, we're, we feel really good about that opportunity. Relative to specifics on next year, where we're obviously not in a position right now to talk specifics on '21.
Operator: Our next question is from Mike Dahl with RBC Capital Markets. Your line is open.
Mike Dahl: First one sticking with the capacity side, so I think there is broad by in around kind of the secular nature of growth and people understand the current dynamics in terms of seeing very strong demand trends as things settle out post the initial COVID disruption. But the pushback we hear it's more around the magnitude of additions. When looking at what your largest competitor has announced and now what you're announcing and thinking about kind of the cumulative capacity adds for the industry being announced at a time when there is still potentially a little difficulty discerning what the, what the sustained demand trend will be, since you've got some potential stimulus effect now, you've got to shift in terms of wallet share is spending in home versus out-of-home. How do you respond to that? Jesse.
Jesse Singh: First off, as we look at the history of the market. This is an industry that has operated and has operated well with flat capacity in the system. And so we feel really good about the opportunity of the capacity coming online. And as it relates to the long-term trends, we believe that the capacity is needed to be able to, to meet our long-term trend. So we're really comfortable with our ability to continue to execute and to have favorable market dynamics given the combination of historical track record of managing through that, and also given, yeah, the significant opportunity we see ahead of us. The other thing I'll highlight is just as we're able to rapidly accelerate our capacity adds, if it seems appropriate. We would also have the ability to stage it in the future in a different way. And just as a reminder, as we add capacity, we typically do it in a modular way. So we have an ability to scale. How fast we deployed it and you know at the pace we scaled that up and we said that when we talked about $100 million and we also believe that as we look at the $180 million. I'll add one additional point, the capacity expansions are to benefit our Deck, Rail and Accessories lines, but they're all but we also see ongoing opportunity in our Exteriors business and we, as part of $100 million and as part of $180 million. We're going to continue to take steps to facilitate the growth in those businesses, DiversiTech's acquisition and that team continues to drive really strong innovation working and the AZEK team continues to drive market penetration. So we have two very strong business there. And part of what we're deploying will also facilitate their growth.
Mike Dahl: And then the second question, I may have missed it but kind of a follow on to fill. I think there was a question around given the stronger demand outlook given the increase the RNA capacity here. How are you thinking about the recycling capacity that you've got? Are there, plans to accelerate your capacity adds in recycling or could that be an avenue similar to return polymers that you look at, to pursue bolt-on M&A to backward integrate.
Jesse Singh: Yes, well, obviously, as you point out return polymers is been a terrific acquisition for us and really sets us up, not only for now, but is a, is a very scalable operation and we view our recycling capability is something that will also be able to scale in the future. The specifics of what we're going to do obviously will share when appropriate.
Operator: Our next question is from Ryan Merkel with William Blair. Your line is open.
Ryan Merkel: Two questions from me. First off, I think you mentioned low double-digit revenue growth for first quarter '21. To just clarify that, if you would and then does this assume the first 20% phase is fully online? And then are you assuming any channel loading in that or is it just matching sell-through?
Ralph Nicoletti: Ryan, it's Ralph. Good morning. Yes. And as it relates to Q1 of '21. Again we felt given the volatile environment when it was now, a couple of months ago when we during the process of the IPO we gave an outlook. We felt it was important to provide some update there. And clearly a couple of months. A couple of months ago, we thought there was the potential for destocking. As we look at the strength of the strength of demand and the inventory in the channel that's low. Our assumption is that we're going to see continued solid sell-through and given the current inventory levels. There will be some restoration of inventory in the quarter. We have with our capacity plans, we have ample capacity to meet in the level of guidance that we gave. And as we're putting 20% more on - in this quarter here finishing out.
Ryan Merkel: And then second question, guidance implies EBITDA margin, down about 100 basis points sequentially in 4Q. Despite the higher revs. Can you just talk about the drivers sequentially, just we know the pieces?
Ralph Nicoletti: Yes, I think the, probably the biggest piece to point out is we're going into the fourth quarter and where we're incurring about $2 million of incremental public company related costs, which really weren't in the third quarter. I think that's one. The second is just in the third quarter as you recall, early in the quarter with the onset of the COVID-19 situation, we pulled back on marketing early in the quarter. And we're going to return to kind of more normal levels in the fourth quarter. So we're very confident in our ability to get operating SG&A leverage. But we're stepping into higher public company related costs and a normalization of marketing spend. Those are the two differences sequentially. We're going to continue to have good productivity out of the factories and alike. And we'll have some COVID-19 related expenses in Q4, but to a much lesser degree than what we saw in Q3, where we actually had factory down.
Operator: Your next question is from Seldon Clarke with Deutsche Bank. Your line is open.
Seldon Clarke: Just given the impressive demand, that you're seeing in decking in the capacity constraints that the industry is seeing more broadly, how are you thinking about the pricing environment going forward, do you think increase conversion away from wood presents an incremental opportunity for pricing here. Is there anything, as it relates to pricing baked into that margin target as well.
Jesse Singh: Let me start and I'll let Ralph gives you a little bit more granularity. And it's more of the latter question you had, as we look at conversion, just as a reminder, we look at conversion in all segments. And we see conversion in premium woods, we see conversion in mid-tier woods, and we see conversion in entry level. So, I believe that we should or I believe that we'll continue to see that conversion opportunity and that really sets us up well for a broad mix and then specific on the earlier question, I'll throw it over to Ralph.
Ralph Nicoletti: And on pricing, pricing specifically it's something, it's something we always look at. And we'll continue to evaluate that, I would, I would just say for the direction that we gave on our Q1 '21 that doesn't include or contemplate pricing, typically if we were to price like we did this past year, we wouldn't see realization in the first - in our first fiscal quarter, just the way the timing in the execution wood work. But that's something we're evaluating and we'll continue to evaluate.
Seldon Clarke: And then, just sticking on that, your 500 basis points of EBITDA margin improvement target on. Yeah. Is there any way to quantify some of these dynamics, either from a percentage or timing standpoint, whether it'd be underlying operating leverage the SG&A savings are the benefit from increase of cycle material or even just how much of that 500 basis points is controllable versus macro dependent? And like I said earlier, I know you're not in 2021 guidance, but if there is any way, just think about the timing of some of these buckets over the next couple of years, that would be helpful. Thanks.
Ralph Nicoletti: Thanks. Yes, I think it's important to think about the 500 basis points just to do you have to step back to the components that we talked about. It's largely driven by two areas. Gross margin improvement and within gross margin improvement, the majority of that benefit is going to come from our recycling initiatives and our AIMS initiatives. And then on the operating side, there's not a lot of volume leverage. You get a little bit of benefit from that, but not a lot in the gross margin line because 90% of our costs are variable. So the majority of the 500 basis points will come through. It will come through. That the operation side. And then there is SG&A leverage that will pick up once we lap our public company costs. And I think we've also shown that we have the ability to manage our margins or EBITDA margins, you know as volumes, as volumes fluctuate because there are levers that we could pull in the SG&A side, that would, that would mitigate any decremental type margin, which we've talked about in the past, I think in terms of timing, we're really not wanting to lay that, lay that out specifically. The 500 basis points is clearly a long-term goal. Having said that, we have specific programs and actions to support it and execute against it internally, we do it and we'll give you updates, as I mentioned about guidance, we'll give you a view of our annual guidance for '21 later on after the end of this fiscal year.
Jesse Singh: Yes. Seldon, just a macro - a very quick macro, as I mentioned earlier and we've laid out some milestones and we're on track. So for example, this particular quarter, as we speak. We were ramping up a specific formulation in our, our PVC facility, that really sets up the next year, plus of cost savings for us to be able to continue to utilize higher levels of PVC recycling and utilize different streams of PVC recycling. And so I think what Ralph is referring to is when we get into '21, we'll be able to provide a little bit more color on specific milestones like that, and those also include expanding our capability with the third recycle line that we talked about.
Operator: Your next question is from Keith Hughes with SunTrust. Your line is open.
Keith Hughes: Keith Hughes from SunTrust. Just a question on commercial real quick. It's got all the pressures that you highlighted in the intro, the EBITDA number was a nice positive in the quarter, is that kind of EBITDA level possible in the next several quarters given that these pressures are going to continue?
Jesse Singh: Yes as we pointed out earlier, that particular business has some real positives to it and the team has done a terrific job of managing through as you pointed out, a difficult macroeconomic climate, it's got some differentiated products in a nice market position, specifics EBITDA margins et cetera for that particular business in the future. We're not disclosing it, except that we have confidence in that team to continue to execute at the levels, if not better levels in the future.
Operator: Your next question is from Adam Baumgarten with Credit Suisse. Your line is open?
Adam Baumgarten: Just curious if, in the quarter or in the near term here if you've seen much of an impact from the shortage of decking lumber, that's out in the market and you guys maybe seeing some incremental sales because of people's inability to source that?
Jesse Singh: As you pointed out, certainly in certain geographies, there are shortages of different types of materials are longer lead times. The way, I would put it is, we saw an increase in pricing. I believe, around 2018 of lumber, and then we saw a subsequent decrease in that and the conversion rate has continued to sustain. And so we, we continue to see the opportunity for conversion and don't view that as something that is a quarter to quarter thing, we view it as a longer-term trend. So we continue to see opportunity kind of independent of some of the volatility, we've seen in wood.
Adam Baumgarten: And then just on inventory levels. Broadly, it seems like they are pretty low. Is there any discernible difference between the dealer channel and retail?
Jesse Singh: We don't disclose specifics between the two channels. I'll just leave it at that.
Operator: Our next question is Alex Rygiel with B. Riley. Your line is open.
Alex Rygiel: As it relates to the web traffic, as it relates to the web traffic and sample demand growth, what's the lag to when this eventually works its way through the channel and results in shipments of your facilities?
Jesse Singh: We have, I would say, I can give you a range of what our market research says, I would say it varies. On the shorter side closer to two months, maybe even one to two months, all the way to the longer side, it could be over a year and the reason why that range is so broad is really driven by the fact that the decision-making process for this particular category. I can be a more extended decision-making process. And so I'd consider that range in there, it's a pretty broad range, I understand, but that's what the data shows.
Alex Rygiel: And then circling back to the CapEx expansion decisions. Can you characterize that issue if that's due to improved market share gains, that you picked up during the quarter or is it really just broadly more demand just all across the business?
Jesse Singh: I would say for us, as we look at the long-term opportunity that we see, we believe it's prudent to make the investments now to really set us up to be able to better service the market and also have an opportunity to continue to participate and potentially drive the market growth in the future and so we certainly, as we talked about on this call already are seeing short-term positives. And as we look to the mid-term, we've got macroeconomic uncertainty. But this focus on the home, this incremental benefit we might see that extended really put us in a positioned to feel comfortable with the decision to expand our view of what we need to execute in the next 24 months.
Alex Rygiel: And the comment in your answer there to drive market growth in the future was interested, does that suggest that maybe you missed out on some growth in the current quarter because of being at full capacity?
Jesse Singh: Yes, I think Ralph highlighted in his comments that we were unable to service all the demand that we saw within the quarter.
Operator: Our next question is from Trey Grooms with Stephens Inc. Your line is open.
Trey Grooms: Thanks for taking my questions. First one is on kind of following up on some of the questions around Commercial, on the Commercial business, I mean clearly, it's, it was a, it's continued to be soft. I mean everybody on that side of the aisle is facing some headwinds here. But I guess looking at the quarter, down about 20% or so and Ralph mentioned continued softness in through the calendar year. But just as far as magnitude, I mean have you guys seen any signs of improvement there, or is it kind of still running in that range or just trying to get a feel for how we should be modeling out that side of the business, a little bit more detail.
Ralph Nicoletti: We thought, we thought it'd just be prudent to at this point in time guide to the trend - guide to the trends that we're seeing there are some, there are some pockets of stabilization within that business and some of the fundamentals, including some of the new products that we're offering, both on the Outdoor side as well as in bathroom partitions and those kind of areas are very good and there is always strong interest. But we're in this window, where it's a tough environment to exactly say when things will fully recover, we starting to see some things stabilize. And we just thought it would be prudent to from our own guidance standpoint to assume that through at least the end of the calendar year, that the trends will continue, but there are some pockets of improvement, but it's not something that we'd say today we should be banking on in modeling long-term, as we've talked about this is a business that largely will track with GDP over time.
Trey Grooms: Understood.
Jesse Singh: Yes, if I could. And I'm sorry Trey, just to maybe add briefly, and it's a bit of a contextual element, it's, there are good businesses and the segments that they play, but just to give you a sense in the last nine months. Their EBITDA contribution, as we look at segment EBITDA is about 6%. So it's important that you know that we continue to service those customers, but in a relative sense it's still up a pretty modest part of our business.
Trey Grooms: Yes. So we get that. And thanks for the update on the mix. So my follow-up is just maybe in the weeds. Just a little bit more around the capacity increase. You talked about a 70% incremental decking, an increase of 70% incremental decking capacity and I think the initial plan is that was with the $100 million, was that there was a, you were going to see increases both on the composite decking side as well as PVC. And Jesse, I know you talked about this just a little bit was continued expansions in trim and Exterior things like that, but can you give us any idea of how the new expansion is kind of broken up into those categories. I think the initial plan it was a little bit more on the composite side versus PVC just any color there. As we look at kind of the types of products will be increasing that incremental?
Jesse Singh: I would just say directionally, that we, you should consider that both sides will benefit and both sides will benefit roughly equally both on our cap polymer side and our cap composite side.
Operator: Your final question comes from Kurt Yinger with D.A. Davidson. Your line is open.
Kurt Yinger: Yes, good morning everyone and thanks for all the details. Just one quick one, could you talk about some of the initiatives you have going on to deliver above-market growth on the Residential side and how you're trying to thinking about future opportunities to increase your penetration in the retail channel and how you balance new product introductions. We're trying to keep some consistency within the channel?
Jesse Singh: Yes, first, thank you for the question. So let me start at the high level and hopefully, I'll be able to get to your second question also. As we look at growth, we feel we're fortunate in that we have multiple levers to drive growth. And so at one level we've made pretty significant investments in sales and marketing and downstream activities, that's both at the primarily within the residential side and within the three components there. So we've made pretty significant investments in that downstream activity. So for example on the, on the Exterior side, we've we bought attacks and we've expanded the AZEK sales force. So that's an opportunity and it's really an opportunity to continue to drive penetration. So that's one bucket. The second bucket is really around execution around the consumer. And it falls under that marketing bucket, just making sure that we continue to engage the consumer appropriately and help them along the journey. And then the third component as you pointed out, was around new products. And we've got a commitment both to ourselves, and in the marketplace that we want to continue to have a strong new product pipeline, that helps them fill their needs and drive productivity. So for example, in our Exteriors business that we've talked about Deck, Rail and Accessories, but on the Exteriors business, we continue to drive products that help contractors with productivity as they are repairing and installing new Exteriors. And so as we look at the balance. You know we, we look to make sure that we're planting seeds for the future and we pay things based on both our operational changes and based on what we think is appropriate for the market. And so we, that's, it's good insight, it's always a conversation that we have on making sure that we're adequately, put it this way, we have, we have greater capacity to launch new products, then we feel the market could absorb and so we're always in process of pacing that. So hopefully, that gives you a perspective, and I hope I answered your second question also.
Operator: We have no further questions at this time. I turn the call back to management for closing remarks.
Jesse Singh: Thank you all for taking the time this morning to engage us on our first earnings call. We're committed to doing the right thing. We're committed to the safety of our team members in our consumers and our channel partners and - and we're committed to continue to execute the strategic objectives that we've laid out. So with that, thank you very much and we look forward to further conversations over the next weeks and months. Have a great day.
Operator: This concludes today's conference call. You may now disconnect.